Operator: Greetings. And welcome to the Hibbett Sports Fourth Quarter 2020 Earnings Conference Call. During this presentation, participants are in a listen-only mode. Afterwards, we’ll conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded on Friday, March 20, 2020. It's my pleasure to turn the conference over to Jason Freuchtel, Director of Finance and Investor Relations. Please go ahead, sir.
Jason Freuchtel: Good morning. Thank you for joining Hibbett Sports to review the Company's financial and operating results for the fourth quarter and fiscal year 2020, which ended on February 1, 2020. Before we begin, I would like to remind everyone that management's comments during this conference call which are not based on historical facts, including those in response to your questions, are forward-looking statements. These statements, which reflect the Company's current views with respect to future events and financial performance, are made in reliance on the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and are subject to uncertainties and risks. It should be noted that the Company's future results may differ materially from those anticipated and discussed in the forward-looking statements. Some of the factors that could cause or contribute to such differences have been described in the news release issued this morning and the Company's Annual Report on Form 10-K and in other filings with the Securities and Exchange Commission. We refer you to those sources for more information. Lastly, I would like to point out that management's remarks during this conference call are based on information and understandings believed accurate as of today's date, March 20, 2020. Because of the time-sensitive nature of this information, it is the policy of Hibbett Sports to limit the archived replay of this conference call webcast to a period of 30 days. I'd now like to turn the call over to Scott Humphrey, our Interim Chief Financial Officer.
Scott Humphrey: Thanks, Jason, and good morning, everyone. Welcome to the Hibbett Sports fiscal 2020 [Technical Difficulty] and year-end earnings call. Today, we have with us Mike Longo, President and CEO, and Jared Briskin, Senior VP and Chief Merchant. I'll start today's call with the prepared remarks on the fourth quarter and full year results, followed by Jared with a review of merchandising, and then Mike will cover highlights from the quarter along with the general business update. As a reminder, we treat City Gear as an extension of the Hibbett business and the results will be reported on a combined basis. The fourth quarter marked the first time that City Gear sales were included in our consolidated comp sales, as we now have owned the City Gear business for over one year. For the fourth quarter, total net sales increased 2.3% to $313 million and overall comp sales increased 4% compared to last year's fourth quarter increase of 3.8%. This was our fifth consecutive quarter of positive comparable sales. Our e-commerce sales continued to accelerate, representing 14.2% of consolidated net sales for the fourth quarter. For the full year, comparable sales increased 5.3%. Total net sales for fiscal 2020 increased 17.4% to $1,184.2 million, compared to $1,008.7 million in the previous year. Our e-commerce sales increased 41.3% compared to the prior year. Our gross margin increased 46 basis points as a percent of sales in the quarter on a GAAP basis, mostly attributable to lower occupancy costs due to the store closures we have completed this year. However, on an adjusted basis, our gross margin decreased by 41 basis points as we closed 23 more Hibbett stores in January, and there are accelerated add-backs to the occupancy expense when store closures occur. For the full year, our gross margin decreased by 21 basis points as the increase in e-commerce as a percentage of our total sales mix reduced our overall margin. SG&A [Technical Difficulty] acquisition. As we discussed in note 3 of our 10-K last year, the City Gear's acquisition purchase agreement included two contingent earn-out payments based on City Gear's achievement of certain EBITDA thresholds for fiscal 2020 and 2021. The preliminary fair value of the liability was included in other liabilities in the fiscal 2019 year-end consolidated balance sheet. Subsequent changes in the liability are recorded through current period earnings. And based on current forecasts for City Gear performance for fiscal 2020 and 2021, the earn-out liability was increased $3.3 million, which is an impact of 105 basis points as a percent of sales in the fourth quarter. We expect some continued volatility in this expense as we continue to realize the City Gear business opportunities. Additionally, we incurred a net charge of $0.9 million related to the finalization of the former CEO’s retirement agreement. This amount was not removed from adjusted SG&A and represents an additional 29 basis points to SG&A and $0.05 to consolidated EPS. On an adjusted basis, fourth quarter SG&A as a percent of sales was 85 basis points higher than the prior year quarter due to a combination of the former CEO’s retirement agreement and higher e-commerce sales, which typically drive our SG&A costs higher. For the full year, our SG&A expenses as a percent of sales were 67 basis points higher than the prior year due to the City Gear contingent earn-out expenses, which I discussed previously. On an adjusted basis, our SG&A expenses constituted 25.21% of sales compared to 25.73% of sales in the prior fiscal year. The income tax rate for the quarter was 23.3%, which compares to last year's rate of 22.8%. And for our full year, the tax rate was 24.7% compared to 24.3% in the prior fiscal year. Consolidated earnings per share for the quarter was $0.34 per share compared with $0.36 per share last year. Including adjustments, our normalized consolidated earnings per share is $0.51 compared to $0.57 per share last year. On a full-year basis, we have delivered earnings per share of a $1.52 per share versus a $1.51 per share during last fiscal year. After adjustments, our normalized earnings per share was $2.33 per share for fiscal 2020 versus a $1.77 for fiscal 2019, a 32% increase. Turning to the balance sheet. The Company ended the year with $66.1 million in cash versus $61.8 million at the end of our last fiscal year. We ended the year with zero borrowings on our revolving credit facilities as we paid off $35 million in debt related to the City Gear acquisition during the year. With no debt and substantial cash on hand, we feel well-positioned to be able to withstand the potential for any slowdown in business activity related to the coronavirus pandemic. Inventory increased 2.8% from the end of our last fiscal year. Our aged inventory has improved as a percentage of total inventory to 16.8% versus 21.4% of our total inventory at the end of last year. We spent $17.4 million in CapEx in fiscal 2020 as we opened 13 stores, rebranded 11 Hibbett stores to City Gear, relocated seven stores, expanded two existing stores and made further progress on our other capital initiatives. Also, the Company purchased approximately 533,000 shares for a total of $14.1 million in the quarter under our share repurchase program. At year-end, we had about $153 million remaining under the existing authorization. I'll now turn the call over to Jared for a review of merchandising.
Jared Briskin: Thank you, Scott. Good morning, everyone. As a reminder, my prepared remarks are reflective of comparable storage trends and now include City Gear. During the fourth quarter, our momentum continued, posting our fifth consecutive executive comp store gain. Our sharp focus and investments in our strategy of leading with sneakers is driving results. While excited about our results, the quarter has seen challenges that we were able to overcome. These include calendar shifts, launch date changes and unfavorable weather.  Our fourth quarter performance was driven by strong results in footwear, posting a low double digit comp. This performance is our 10th straight quarter of comparable sales gains in footwear. We had double-digit gains across our men's, women’s and kids’ business. These results were made possible by a strong launch calendar and continued improvement in our non-launch business. Nike sportswear continued to perform exceptionally well as broader investments in models such as Air Force 1 and Air Max platforms resonated. We had a strong quarter with the Jordan brand as models, such as 6 Rings, AJ1 and Retro models performed well. Other strong performances came from Champion, Brooks, Reebok and Converse. Apparel was down low-single-digits. Strength in men’s apparel was offset by challenges in women’s and kids’ apparel, and licensed products. Challenges in feasible categories across active wear and licensed, drove our results down. Apparel products that showed strong connectivity to sneakers, continued to perform exceptionally well. Team sports business was down low-single-digits but was on plan. Wrestling, softball and track performed well but were offset by other categories, including a planned reduction in the fitness business. I'll now turn the call over to Mike Longo.
Mike Longo : Thank you, Jared. Good morning, everyone. We're very proud of the results the team turned in for quarter four. More importantly, I'm very proud to lead this team and the terrific sales associates in our stores, who serve our customers each and every day. As you all know, I recently took on the role of CEO at Hibbett Sports. I was asked to spend a few minutes on my background. So, in short, I had a very successful career in the U.S. Army, starting at WestPoint, then as an infantry officer and a paratrooper in the 82nd Airborne, and I finished out my 13-year career teaching economics back at the academy. When I left the military, I was lucky enough to have exactly one interview with exactly the right company, and that was AutoZone. The fit was perfect for me, great people with a mission. So, in my 13 years at AutoZone, I ran the supply chain, all the stores and merchandising, and that provided me an education in all disciplines of retail. Following that, in 2006, my business partner Jeff Presley, and I bought City Gear. And in those 13 years, we turned a 40-store chain into a 150-store chain that we eventually sold to Hibbett. That brings us to the present day, where I accepted the CEO position in December. I'm proud to be here. I'm proud to be at Hibbett Sports. I'm proud to be a member of the team. And I'm proud to be the leader of that team. But, that's enough about me. Let's move on to what I've learned in the past 90 days at Hibbett. I learned, we have a great team dedicated to serving our customers and we have a great business model. We believe that our success going forward will be based on our sales culture in the stores, our product selection, our customer service, and our ever-improving ability to deliver products and services to our customer whenever and wherever they choose to consume it. That is a key to our success and will set us apart even further from our competition now and in the future. But reality pretty soon and I'm sure you're also going to want to hear more about our current situation with respect to the coronavirus. First thing is first though. We're deeply concerned about those directly affected by this virus. Our thoughts and our prayers go out to them. Many people are affected physically and some economically. And in equal parts, our concerns are with them, and we hope the best, and we're trying our best to assist them to get to a better place. There are a few things I would like to point out that help Hibbett Sports remain resilient in the face of this problem. For one, we're in smaller markets, mostly in the South and Midwest with less exposure to major population centers. We're also a small box retailer. And that means we don't have concentrations of a great number of people at any given time in a store and over a week's period, as opposed to a big box retailer who has a different set of issues. And obviously, it goes without saying but I don't want it to go unsaid, we're taking a great deal of care in disinfecting services in the stores -- disinfecting services in the stores and practicing social distancing between the staff and the customers following CDC guidelines, and every other common sense measure that you would imagine an operator would put in place. I do want to also make the point that currently our stores are open. They're open with reduced operating hours and reduced staffing. And that decision has come as a result of careful deliberation and thought, and that thought with regards to staff safety and welfare. Our employees want us to stay open, but we have to balance that with precautions necessary to ensure their safety. And those precautions also help ensure customer safety. Our customers have expressed their desire for us to remain open too. I saw that yesterday in the stores waiting on customers. As well, we continue to utilize our best-in-class e-commerce platform to pick orders from our retail locations, as well as our distribution center. And at the same time, we continue to execute our BOPIS and ROPIS services to great effect. Our new curbside service is yet another demonstration of a way to utilize our strong digital platform and integration with our brick and mortar business. The digital platform continues to perform and remains open for business and will remain so. Our store support center, you might refer to it as an office or corporate, is operating on reduced staffing. And we're able to work remotely with our strong cybersecurity controls. Our DC, our distribution center is also operational and doing a great job supporting our stores and the digital business. The next topic I want to cover is liquidity. In our case, it is not an issue. Scott gave you some facts and figures earlier in the presentation. I will also remind you again, we have cash on the balance sheet and an available line of credit. Our liquidity can withstand a shutdown for a long period of time. Our model indicates our liquidity will take us well past the short-term prices, and we have the ability to manage for the foreseeable future, well in excess of any projected disruption timeframes. Additionally, we have the ability to make some adjustments to our model to preserve liquidity, if it becomes necessary to do so. And they're all the obvious ones that you would already have ticked off, CapEx can be reduced, terms on POs [ph] can be extended. We're managing our inbound, and we have great relationships with our landlords. And a reminder, all of our locations are leased -- all of our store locations are leased. We have a great relationship with the landlords. And our leases are relatively short-term where we can -- we have 15% to 20% coming up on renewal every year. And of course, we can always reduce staffing to match demand. So, in conclusion, I'm confident in our plans. I'm confident in our ability to withstand set of circumstances we find ourselves in. I'm excited to be here. I'm excited to lead this great team. And we are up to the task of delivering on our commitments to our customers, employees and owners. Operator, we are ready for questions.
Operator: Thank you, sir. We'll now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Peter Benedict with Baird. Please proceed.
Peter Benedict: Hi, guys. Thanks for the question. I guess, the first one, would you be willing to kind of speak to how the first quarter has gone so far? I know you guys don't typically like to do that, but obviously this is a bit of a unique situation. So, just getting a feel for maybe how the business was in February and then thus far in March, so at least we know what's been accomplished to-date.
Mike Longo: Sure. This is Mike. I'll cover the first part of that and Jared can chime in and Scott as well. Results up until midweek last week were very, very good. We had a positive comp, we were hitting on all cylinders, all regions, all of our brands were doing well, and e-commerce remained strong. Obviously, that has changed over the last week. But prior to that, a very, very good result. Jared, any color you'd like to add to that?
Jared Briskin: No, I think you know that, Mike. I think we were very confident in our plan, very confident in the positioning of our inventory, the health of our inventory. And we're really pleased with the results we were seeing before the demand slowdown. 
Peter Benedict: That's helpful. Thanks. And so, does that mean that -- I mean, the e-commerce has gone negative as well. I mean, the stores are probably down but, but has the e-commerce stepped down as well?
Mike Longo: E-commerce continues to operate, depending upon the day and a -- normally positive territory. So, we're still seeing good results there.
Peter Benedict: Okay. Thanks, Mike. And then, you mentioned CapEx flexibility. Can you give us a sense for maybe what the base plan is for CapEx this year? And if you had to cut back, how much you could? And your thoughts on buyback, is there any thought of kind of holding off on that for the time being?
Mike Longo: We’re going to review all those options. As you can imagine, things are changing on a moment by moment basis. If you hear us pause in an answer, it's because we're probably checking an email or a text and dealing with a situation in the current timeframe. So, things are changing. Yes, we're going to modify CapEx spending. Some of it is already determined and in place, and you can't get out of it and you shouldn't get out of it because they're wise investments in the future -- in the current business and in the future business. We'll examine buybacks, and we'll look at all those. We're just not willing to go forward and tell you modifications to the plan yet.
Peter Benedict: That's fair, Mike. Last question, maybe Jared, I don't know if you could weigh in on this. But, it seems as though the -- at least the footwear supply chain looks reasonably good and operational at this point. Any changes to the launch calendars though, as we look out over the first and second quarter? Let's kind of take that as the timeframe that might be taking shape here as people start to -- some of your suppliers start to think about where the demand will be over the next few months.
Jared Briskin: Yes. Peter, as of right this second, and I want to be careful when I say right this second, obviously the situation is fluid, and as Mike mentioned, we're dealing with a lot of changes, almost minute by minute. From a supply chain perspective, at least through the first quarter, we felt quite confident with regard to mitigation there; from a launch date perspective, we have not seen any changes at this point. Again, the situation is fluid. But, as of right this second, we have not seen any changes.
Operator: Continuing on, our next question comes from the line of Jim Chartier with Monness, Crespi & Hardt. Please proceed with your question.
Jim Chartier: Following up on the first question, how much of the quarter still left? What percentage of sales to-date have you had in the quarter?
Scott Humphrey: I'm sorry…
Mike Longo: I think, your question is -- we're halfway through the quarter, I think is the answer.
Jim Chartier: Yes. Okay. And then, in terms of inventory planning, how are you guys thinking about the rest of the year? Are you starting to maybe dial back some purchases and plan more conservatively for the back half of the year as well?
Jared Briskin: As we discussed, very fluid situation, we're working with our partners by the minute on what the future looks like from a supplier perspective, as well as ensuring that we're trying to mitigate as much as inventory commitment while see some potential demand slowdown. Again, very, very fluid situation, and constant conversation with our partners. We have incredible partnerships with our vendors and incredible support. So, we think here like we have some significant flexibility to manage the inventory appropriately as we go through the balance of this cycle.
Jim Chartier: Okay. And then, just on the e-commerce rollout at City Gear, what have you seen there? What is the adoption rate there have been and any reason City Gear e-commerce can't be as successful as what Hibbett has done?
Mike Longo: The City Gear e-commerce transition has gone very, very well. Our digital platform, as we continue to reiterate, is the best in the business bar none. And adding City Gear to it has seen some phenomenal results. We've also added most of the City Gear stores to the fulfillment process. And that has gone very, very well. And Scott will correct me, but I don't think we break it out below that level.
Scott Humphrey: No. Correct.
Jim Chartier: Okay. And then Mike, what do you see, I guess, the biggest opportunities going forward for the two businesses? And I guess, in terms of store opportunity, what do you see for City Gear and Hibbett’s longer term?
Mike Longo: Great question. Thank you. We see the two brands operating, running down parallel tracks. Keeping the separation of the brands is super important to us, at least on the customer facing piece. They are two brands that stand for different things, both of them very successful with the consumer. Our job is to take the best of all and the best ideas in Hibbett put them in City Gear, the best ideas in City Gear and put them in Hibbett. Meanwhile, consolidating and we have consolidated the back office for the savings in the synergies that we were looking for. And that also allows us to leverage our best-in-class merchandising team for lessons learned and other things that we can do to expand categories. So, we like our strategy. It has been very successful. The City Gear acquisition, if I may say so myself, was -- has been a great success. And we're capitalizing on it and there's more room to grow in the future. Your specific question was store count as well. We are continuing to grow the City Gear brand at a modest level, and the same answer for the Hibbett Sports brand.
Operator: Continuing on, our next question comes from the line of Samuel Poser with Susquehanna. Please proceed with your question.
Samuel Poser: Thank you. And welcome to the party, Mike. Can you give -- how many -- given that some mall folks have closed, like Simon, and could you tell me how many stores right now are closed, sort of the out of your control closed?
Mike Longo: The majority of the stores are open. We have a dozen -- let's say a few dozen that are closed overnight as a result of the Simon move. We had some localities that had closed prior to that. But it's less than -- it's in the 60 to 70 range, upwards of 100 after Simon. Majority of sores are still open. And as I said, I was in stores yesterday and saw decent traffic. We're not in just a jump ahead. We're not going to characterize our current sales percentages in the current quarter, but so.
Samuel Poser: Let me -- I'm wondering if -- I mean, the decision to keep the stores open, I'm wondering you're encouraging people to come out of their house, when the government telling people to stay in their houses. And while that may be good for short-term sales, and people might want to make sure that they're getting paid, and people might want to buy the latest sneaker. At the end of the day, couldn't this do a lot more harm than good?
Mike Longo: That's certainly your point of view. Our point of view is that we're keeping our customers safe and we're keeping our employees safe. And what I saw with my own two eyes yesterday is that’s the case. You're in a store and there's two customers in the store, upwards of four customers in the store and the staff is keeping it clean. So, I understand your point of view….
Samuel Poser: So, I mean, the staff still has to come and go to work as the customers are going out saying it's okay -- you’re telling this to customers it's okay to go out. I understand you keep the stores clean and all that. But I mean, there's sort of a little more to it than that. Isn't there?
Mike Longo: I'm assuming you got out today to at some point. So, look, -- your point of view is good and I appreciate it and we take it for how you intended it. My statement stands.
Operator: [Operator Instructions] We now have a question from the line of Alex Perry with Bank of America.
Alex Perry: Thanks for taking my question. And welcome, Mike. Just first, can you comment on how much Klarna, the Buy Now, Pay Later solution helped e-commerce this quarter? And then, just separately, can you help us parse out the difference between City Gear and Hibbett banner for the quarter and sort of your more fashion-focused stores versus the rest of the chain? That's my first one.
Mike Longo: Thank you. Good question. Klarna continues to be an important part of our digital strategy. We're very appreciative of what they do and how they do it. And it's been a great success for us and it helps amplify our digital platform and make those products available to more customers and would have otherwise been able to purchase. In terms of specifics, I'm going to lateral to Scott and let him handle those, since he'll know historically what we have and have not disclosed.
Scott Humphrey: Yes. And so, typically, we had given out some numbers on City Gear saying -- just from a revenue standpoint, just saying that was until we had them rolled into the comp, which they now are. I mean, City Gear comped positive in Q4. They continue to perform very well, but we're not segmenting our business. And so, we're kind of rolling everything together and moving forward as one big company now.
Alex Perry: Great. That's really helpful. And then, I guess, just my last one, what are the other offsets to SG&A that you could sort of pull here in terms of like marketing expense? And then, just on some of the rent clauses, like is there chance where if other sort of tenants around you begin closing, days, the landlords help share some of the rent burden? Thanks.
Mike Longo: Good question. We're taking a look at that. I'll let Scott finish the question. Certainly, we have a great relationship. Many of our landlords have multiple locations with us. We're all in conference right now with the landlords, trying to work through the issues. It's a great question. And we don't think we know all the answers yet. So, Scott?
Scott Humphrey: Yes. No, I think as Mike said, I think we're looking at the leases and the situations on a case by case basis. As far as your other question, yes, I think there's a lot of different areas where slowdown in business or potentially kind of a worst case scenario going forward that you have lots of different things where SG&A would be significantly reduced. I mean, you mentioned marketing, I would talk more travel expenses, maintenance in the stores, supplies, the list goes on and on to what would be reduced or cut out altogether kind of in a slowdown situation for us. So, yes, I think good question. I think, we're evaluating this and looking at scenarios, as Jared and Mike both mentioned, really multiple times a day just to react to what's going on and trying to prepare for the future. But I think, a good hypothesis for what may happen going forward.
Operator: Thank you. And there are no further questions. This does conclude today's conference call. We thank you all for your participation and ask that you please disconnect your lines. Thank you once again. Have a great day.